Operator: Good day, ladies and gentlemen, and welcome to the Cameco Corp. Fourth Quarter and Year-End Results Conference Call. I would now like to turn the meeting over to Ms. Rachelle Girard, Director, Investor Relations. Please go ahead, Ms. Girard.
Rachelle Girard: Thank you, operator, and good morning, everyone. Welcome to Cameco's fourth quarter conference call to discuss our financial results. Thank you for joining us. With us today are, 4 of Cameco's senior management team. They are Tim Gitzel, President and CEO; Bob Steane, Senior Vice President and Chief Operating Officer; Grant Isaac, Senior Vice President and Chief Financial Officer; and Ken Seitz, Senior Vice President, Marketing and Business Development. We are also joined by our colleague, Bob Lillie. Tim will begin with comments on Cameco's results for the fourth quarter and for 2011, and on how he sees the future for Cameco and the nuclear industry. Then we will open it up for your questions. Today's conference call is open to all members of the investment community including the media. [Operator Instructions] Please note that this conference call will include forward-looking information, which is based on a number of assumptions, and actual results could differ materially. Please refer to our Annual Information Form and MD&A for more information about the factors that could cause these different results and the assumptions we have made. With that, I will turn it over to Tim.
Timothy S. Gitzel: Well, thank you, Rachelle, and welcome to everyone who has joined us on the call today as we discuss Cameco's fourth quarter results, our progress through 2011 and our view of the future. We have several pieces of good news to report. Just yesterday, it was announced that Canada and China have agreed on a protocol to allow deliveries of Canadian uranium concentrate to the world's fastest-growing nuclear market. Once ratified, this will help us build our position as a key uranium supplier to China and grow employment and investment in Canada's uranium mining industry. We commend the governments of both countries for getting this done. Also announced yesterday was the news that the U.S. Nuclear Regulatory Commission granted Southern Co. a combined construction and operating license for 2 new units at the Volvo plant in Georgia. These are the first new reactors to be approved in the United States for more than 30 years. Turning now to Cameco's fourth quarter and annual results. Well, 2011 was a year of global economic, political and environmental challenges. In addition, the nuclear industry has felt the effects of the events in Japan in the way of new build slowdowns and lower uranium prices. But it was also a year of record performance for Cameco. For us, it has been business as usual, and in some ways, even a little better than usual. Our safety record was, once again, very strong. A number of our operations achieved important safety milestones. Cigar Lake reached 2 years without a lost-time injury, Crow Butte reached 4 years and Blind River reached an impressive 5 years without a lost-time injury. Safety is an important part of our commitment to operational excellence and we have worked hard to ensure a strong safety culture permeates the entire organization. 2011 was also strong from a financial and operational perspective. We saw high uranium sales volumes and record realized prices, which combined to generate almost $2.4 billion in revenue for our nuclear business, 12% higher than in 2010 and a record for the company. $1.6 billion of that was from our Uranium segment. As we said throughout the year, our uranium sales were heavily weighted to the fourth quarter this year, and so we achieved record results for the quarter as well. Quarterly revenue from our Uranium segment reached a record $731 million from 13.8 million pounds of sales volume. Overall, consolidated revenue for the quarter was another record at $977 million. Production was just as strong, coming in 3% higher than we had planned for 2011. McArthur River and Rabbit Lake performed particularly well. Our share of production from McArthur River was 5% higher than planned and matched the record production achieved in 2010. At Rabbit Lake, production was 6% higher than our plan, at 3.8 million pounds. Production at Inkai, however, was down from 2010 levels. We had previously benefited from some built-up inventory that has now been drawn down, as well as the higher uranium grades that are associated with new wells, which are now beginning to mature. A key highlight for Inkai this year was the signing of a memorandum of agreement to increase total annual production from 3.9 million pounds to 5.2 million pounds. At Cigar Lake, we made significant advances in moving the project toward production, including completing remediation of the underground, resuming construction and breaking through with the second shaft on the 4E level. In the MD&A, we announced some changes to the Cigar Lake project that will be detailed in the updated technical report to be released later this month. The report incorporates more comprehensive knowledge of the geology of the ore body and changes we have made over the year to improve the project such as surface freeze and the milling agreement we signed to have the ore processed at the McClean Lake mill. The most significant result of these developments is an improvement in the economics of the project. The estimated average cash operating cost is expected to decrease from about $23 per pound to $18.60 per pound, which we're very pleased with. There have also been changes to the production schedule. While we still expect to ramp up to the full production rate by the end of 2017, the initial production period will be slightly slower than had been planned. This is a result of having lower ore grades in the initial mining panels, as well as our cautious approach to the project. Because of the challenges we've had in the past with the complex geology of this ore body, we believe it's important to take the time to ensure that the job gets done right and gets done safely. We've made excellent progress at Cigar in 2011, and look forward to producing our first pounds in 2013. While our Uranium segment performed very well in 2011, where we did see some negative impact to our business as a result of market conditions was in our Fuel Services and Electricity segments. In the third and fourth quarters, we decreased Fuel Services production due to an unfavorable market and unfavorable market conditions for UF6. And our earnings from Bruce Power decreased primarily as a result of lower output and lower realized electricity prices, although it remains a good source of cash flow. As we start 2012, our sales, revenue and production targets for the year are similar to 2011. And as noted in the outlook table, we do expect exploration and administration costs to increase. For our Uranium segment, we expect to produce 21.7 million pounds this year, and we'll continue on the path of increasing annual uranium production to 40 million pounds. It's important to pursue this goal now so that we're ready when the market begins to demand for the supply, and the market fundamentals indicate that it will. Energy demand continues to grow around the world and countries are taking a diversified approach to energy growth, with an emphasis on energy security and clean energy which means that nuclear continues to be a key component of the energy mix. Most of the 30 countries with nuclear programs have recommitted to nuclear, and some are growing their programs. As a result, 96 net new reactors are expected by 2021, 63 of which are under construction right now. This is a level of growth we haven't seen since the 1970s and even more are planned. That's not to say that the industry has not been impacted by the March events in Japan. Most notably, Germany has decided to move away from nuclear and focus on other ways to generate electricity, though we did hear this week that Germany has had to restart several of its shuttered reactors to deal with the cold snap hitting Europe. Japan itself has only 3 of its reactors currently operating, and their plans for the future are unclear. As a result, there has been some concern that excess Japanese and German inventories could come to market in an irresponsible way. However, in the now 11 months since the event, we have not seen any such treatment of inventories. We have had a few requests for deferrals and have agreed to some of these, and we would not be alone in this regard. As a result, we believe that utilities will continue to work with producers and that any materials will be managed in a coordinated fashion that would minimize impact to the market. Even with these developments, the fact remains that uranium demand has long outpaced supply, and in addition, we expect to see annual growth in global uranium demand of 3% over the next 10 years. This widening gap has been filled thus far, with secondary sources like the supply flowing from the HEU agreement. But these sources are finite, and supply from the HEU agreement, in particular, is coming to an end in 2013, which will remove 24 million pounds annually from the market. It is clear that more uranium supply will be needed, and this at a time when new projects are not easy to bring online. We've also seen several projects being delayed or canceled, and in an industry with long lead times. As a result, we see Double U as essential to helping fill that supply gap and delivering value to shareholders. So we remain confident in the outlook for the industry and in our own ability to take advantage of the strong fundamentals to successfully grow the company and build value for our shareholders. So with that, we'd be pleased to answer any questions and I'll turn it back now to the operator.
Operator: [Operator Instructions] Our first question is from Terence Ortslan from TSO & Associates.
Terence Ortslan: Pure politics, because that [ph] collections in January and Harper's visit to China, was there any issues with respect to the uranium business? Because I understand that it actually matters, I guess, given the political situation, but there was an election after all. Would there be any changes with respect to that into of -- with the Harper's trip? Was there any issues with respect to buying or selling reactors or uranium or inviting them to work for more exploration, acquisition, anything like that, that kind of transpired?
Timothy S. Gitzel: Well, I can tell you that there has been some good progress on the Canada-Chinese Nuclear Cooperation Agreement. As you may have heard, a protocol was signed between the 2 governments, that's an agreement supplementary to the Nuclear Cooperation Agreement that will allow Canadian uranium to be shipped into China. And so that for us is very important. As you'll probably remember in 2010, in June, in Ottawa on a visit of President Hu to Canada, we signed 2 large agreements with the Chinese, over 50 million pounds. And so this agreement now will allow us to ship our Canadian uranium to China. So that was the positive piece. I think you mentioned Kazakhstan, postelection there. We see it's business as usual. We've had some of our people over there recently. Bob was over there, and we continue to work on our projects and produce uranium. So no real changes over there.
Terence Ortslan: In that agreement of June last year, what was the follow-up on that with respect to less form of uranium it isn't, and how does it fit into your big, big pie chart of the picture that the Chinese want to have? Any results on that?
Timothy S. Gitzel: Yes, maybe I'll ask Ken Seitz to answer that. Ken, do you want to put some color around that?
Kenneth A. Seitz: Sure, Tim. Today, Cameco has under contract both, I guess, a little less than 52 million because we are making deliveries today. So about 50 million pounds in the contract, and they would comprise about 17% of our overall sales portfolio. So we're making deliveries into China. Certainly, we'll look to do more as they grow their fleet to, we're saying, 60 to 70 gigawatts by 2021. So with those type of numbers, you can imagine that China will be consuming in the neighborhood of 30 to 35 million pounds a year. So certainly, more contracting to be done in that part of the world.
Operator: Our next question is from John Hughes of Desjardins Securities.
John Hughes - Desjardins Securities Inc., Research Division: Just sort of a follow-up on the China theme. With the announcement, I guess, of today, and you do note you have that 50 million pounds over 15 years that you secured 2 years ago, does this open up -- the decision today, open up for additional contracts above that? Or does this just provide you with the opportunity to meet the contracts that are already in place?
Timothy S. Gitzel: Yes, John. I think the opportunity to do further contracting was open with the Chinese and we talk to them, I can say, on a very regular basis. What this agreement, this protocol, does today is allow us to ship our Canadian-produced uranium directly into China. So that was the big piece for us today.
John Hughes - Desjardins Securities Inc., Research Division: Okay, so it opens up both, I guess, and in terms of physically moving as well as potential additional contract. Last question is, on the fourth quarter sales volume of 13.8 million pounds versus production of 6.6 million, so that differential is 7.2 million pounds. It's in sales. How much was produced versus purchased material?
Timothy S. Gitzel: Ken, do you want to answer that question?
Kenneth A. Seitz: Sure. We didn't do any purchasing in the spot market in the last quarter of the year. So of the 14 million pounds, you can just really look at our quarterly production number, and the balance would be purchases under normal course, the biggest one being the HEU agreement. But no purchases in the spot market in that quarter.
John Hughes - Desjardins Securities Inc., Research Division: Okay, so does the sale -- does that mean that the sales volume was principally produced material?
Kenneth A. Seitz: That's right. It would be principally produced material.
Operator: Our next question is from Aleem Ladak of Desjardins Securities.
Aleem Ladak: In the MD&A, there's some good information on the concurrent [ph] project, and I just wanted to ask, when exactly in 2012 do you expect to release the prefeasibility study?
Timothy S. Gitzel: I believe we've noted Q2 for release or at least finalization of the prefea study. We're waiting for it. We'll take a good, hard look at it internally, the finalization of that prefeasibility is a stage-gate event in our portfolio management, our project management process. So we'll take a good, hard look at that when it comes. So I believe that toward the end of Q2 is when we're preparing for that.
Aleem Ladak: Okay and we can also expect the updated Cigar Lake technical report to come out at the end of this month as well, right?
Timothy S. Gitzel: Yes, that's correct.
Aleem Ladak: Right. And finally, more of a macro question. With the HEU agreement expiring next year, come 2014, would it be safe to assume that all of this material would be removed from the market? Or what exactly -- could you provide more color than what you've already given on the MD&A on what you expect to happen post-2013?
Timothy S. Gitzel: Sure. So today, there's about 24 million pounds that's put on the market, thanks to the HEU agreement. And we've heard directly from the Russians and we see no evidence otherwise that, that material will be not available. It just won't be there any longer. So that's 24 million pounds that's going to be removed from the supply side of the uranium market, starting in 2014.
Operator: The next question is from Greg Barnes of TD securities.
Greg Barnes - TD Securities Inc., Fixed Income Research: Tim, you provided some disclosure around growth capital in 2014 of $250 million to $275 million, and you talked about early-stage projects coming into the mix for the Double U. Which project, specifically, are you beginning to slot into that time frame in terms of CapEx spend?
Timothy S. Gitzel: Yes, it's a number of projects that we're starting to spend on. I think I'm going to ask Grant -- Grant's got the details on that growth capital spend, and he can detail some of projects for you, Greg.
Grant E. Isaac: As you go through the list, the growth capital starts to ramp up, for example, with Millennium. The Millennium project, as we advanced out of it. U.S. ISR, you see a contribution there in the growth capital, and the plan there is for more wellfield development and plus some revitalization of the Highland mill there. And you also see continued development at Inkai to prepare for our future production plant. So those kind of captured the big pieces that are in the Double U plant, from a capital point of view.
Greg Barnes - TD Securities Inc., Fixed Income Research: So Inkai isn't coming in?
Grant E. Isaac: Inkai is not on that capital spending chart, no.
Greg Barnes - TD Securities Inc., Fixed Income Research: Okay. And Millennium, is that more a feasibility study?
Grant E. Isaac: Absolutely. Just understanding that deposit better.
Greg Barnes - TD Securities Inc., Fixed Income Research: Okay. Just one other question, Tim, if you could. You said you'd accepted some deferrals of, I guess, the contracted deliveries from some customers. What did you do with the other ones that you didn't accept the deferral from?
Timothy S. Gitzel: So we accepted some deferrals from our customers, certain customers in the countries I think we mentioned. We were able to place those pounds back onto the market at -- in fact, at higher prices so it turned out okay for us in 2011.
Greg Barnes - TD Securities Inc., Fixed Income Research: The ones you didn't defer or didn't allow deferred, did they -- what did they do?
Timothy S. Gitzel: I'm not sure we didn't allow any deferrals. There's some probably still under negotiation, but in the cases of our good customers that asked us for deferrals, we allowed that.
Operator: The next question is from Daniel Rohr of the Morningstar.
Daniel Rohr - Morningstar Inc., Research Division: I had a question first on uranium production costs. You noted in the 2012 outlook that you expect unit costs of sales, including DD&A and purchase volumes to increase anywhere from 0% to 5%. I'm curious as to how you see unit cash cost of production trending on the back of the 9% increase that we saw in 2011.
Timothy S. Gitzel: Yes, I'll ask Grant to give some detail on that.
Grant E. Isaac: Yes. The outlook that you see is absolutely right. We're suggesting an increase of 0% to 5%. There's no magic in that number. I mean, those are costs that are distributed across, of course, labor, production supplies, contracted services. And so we just expect the cash costs to track in the same range.
Daniel Rohr - Morningstar Inc., Research Division: Excellent. And then I expect we'll see details of the new technical report. But were there changes with the Cigar Lake ramp up time, and I noticed that the 2013 volume expectation's down from 1 million pounds to 300,000 pounds. And then there were some minor adjustments to the 2014 and 2015 outlook overall?
Timothy S. Gitzel: Yes, there were some slight changes to production in 2013. Let me first reiterate. I can tell you we're delighted with the way the project's going. The team is doing a good job there. But we've announced now, I think, 300,000 pounds produced in 2013 versus, I believe, we had 1.4 million. That has mostly to do with our better understanding of the geology and the ore body, some lower ore grades in the initial mining panels. So we'll clearly make that up as we go along, but in that first year, that's what we're looking at.
Operator: Our next question is from Borden Putnam of Mione Capital.
Borden Putnam: I was asking a question about the initial startup at Cigar Lake. Can you give us a little more color on what's changed there with the anticipated lower grades in the initial mining panels, as you put in the press release?
Timothy S. Gitzel: Sure. I'll ask Bob Steane, our Chief Operating Officer, to give some detail on the technical report.
Robert A. Steane: Yes, Borden. Bob Steane here. Just -- as we have gone through gathering more information, particularly from our -- on the surface freeze hole drilling that we've been doing, and that's giving us more, much more detailed information into the ore, particularly those first panels and the first ore to be mined. We're seeing some slightly different grades than we had anticipated in the very first production. So that's in the first few years that's impacting the production that we will get. The startup is, given what we knew before and in 2010 we were looking at it, and we haven't -- we've just entered the mine and now the remediation was complete. And we've got the shaft 2 through, and that was a little more struggle than we thought, very insight into it, has shifted that -- the startup date by a few months, but overall, pretty much confirmed, really, what -- where we thought we were, and it's just some small adjustments on the starting and then the initial ramp-up.
Borden Putnam: One more question, if I could, either to you or to Tim. Looking at the zone 4 upper, I know there's been some changes in the production schedule for McArthur different from when the last technical report was available for there, I believe, that was published in 2009. My model had that coming in, in about 2013. But I know there has been some slippage since then, so is this now coming in 2014? Is that a little bit later than you had recently thought or has it been on-track with the revised?
Timothy S. Gitzel: Bob?
Robert A. Steane: Yes, it's pretty much on-track. We always have some adjustments, whether we -- we've been more successful at some of the lower zones and the evolution of going through upper zone 4. But overall, I'd say we're very much on-track with the McArthur development.
Operator: [Operator Instructions] Our next question is from Lisa Mrazek [ph] of Sun News.
Unknown Analyst: Premier Brad Wall, of Saskatchewan, held a scrum yesterday and basically said that Canadian uranium is Saskatchewan uranium. So can you comment a little bit on the effects that it will have on the province, and, I guess, just across Canada as well?
Timothy S. Gitzel: I'm sorry, what was his quote, did you say? Sorry.
Unknown Analyst: Oh, he was just saying that he wanted to be clear that any uranium coming from Canada is actually coming from Saskatchewan, like yellowcake, for example.
Timothy S. Gitzel: Yes, absolutely, sorry, I understand. Absolutely, it's because -- the only source of production in the country right now is coming out of Northern Saskatchewan. So indeed, the Canadian production that the prime minister has been talking about over here -- over in China is indeed the Saskatchewan production. So both the Prime Minister and Premier Wall have been very instrumental, very supportive in helping move the Nuclear Cooperation Agreement with China along, and so that has led to the protocol agreement that was signed yesterday between the Chinese and Prime Minister Harper. So, yes, indeed, he's right. Canadian uranium is, right now, Saskatchewan uranium.
Unknown Analyst: Perfect. I think that answered it. So do you believe, then, that Saskatchewan will be able to keep up with the demand?
Timothy S. Gitzel: Well, it remains -- I'd like to say it's not a competitive market, but it's a very competitive market. And certainly, there are other producers, other countries that are in competition with Canada to sell uranium, not just into China, but around the world. So, yes, it's exciting times. In China, we see the growth here, it's very strong. There's, I believe, 26 nuclear reactors under construction today, as we speak, in China. And so that gets us excited because we know that they need uranium to fuel those reactors into the future. And so, of course, that's the fundamental base for our Double U strategy, where we're investing money in our projects to build up our production so that we can supply that uranium. So that's how the circle goes on that, and that's what gives us confidence in the long-term fundamentals of the market.
Operator: Our next question is from Greg Barnes of TD Securities.
Greg Barnes - TD Securities Equity Research: Just coming back. Ken or Tim, what do you think is going to happen in 2014, post-HEU, when that 24 million pounds disappears? How is the market going to adjust to about, what, 12%, 13% of the supply effectively not being there anymore?
Timothy S. Gitzel: Well, Ken and I may have different views on this, Greg. But I think that's just going to confirm some of the tightness in the market. That supply has to come from somewhere. And we're trying to increase our production, we're moving ahead on Cigar Lake and we're moving ahead in the U.S. and we're moving ahead in Kazakhstan to try and increase our production to fill that gap. And I'm sure there are other producers that are trying to do the same, but that is -- it could be one of those catalysts that everyone talks about that will really spur things forward. So we -- as I say, what we're seeing is that, that's going to create an opportunity for Cameco and that's why we're trying to get our production up the curve. So, Ken, I don't know if you have any other thoughts on that.
Kenneth A. Seitz: No, I agree fully, Tim. I think the one thing I would add is utilities are well covered today through 2016, and maybe a little bit beyond. So in terms of uncovered requirements, we're probably not going to see a huge impact, but it's just as Tim said, where we will see it. I think is recognition that there's tightness in the market, recognition that even today, in this price environment, we'd see new projects, announcements from Reva and [indiscernible] that they're not going to go forward in this price environment. And as Tim said in his opening remarks, it takes time to bring these opportunities into production. And so I just think we'll see -- feel the effects of that tightness. Will our reactors stop running? Absolutely not, there are inventories that have been built. But it'll just highlight how we need the new primary production in this market.
Operator: [Operator Instructions] Our next question is from Todd Coppella [ph] of [indiscernible] Capital.
Unknown Analyst: Just had a quick tax question. I was wondering if you could remind us why the tax rate is so low and you're guiding for that to continue the next few years. And just curious if you could walk us through that again, and at what point we should start to look for a more normalized tax rate of, say, 25% to 30%.
Timothy S. Gitzel: I'll ask our CFO, Grant Isaac, to answer that, please.
Grant E. Isaac: Yes. That's a common question that we get, and it's just a reminder that our organizational structure is set up where our costs are predominantly incurred in Canada. We talked about the Saskatchewan production that is Canadian production. Of course, that's a higher tax jurisdiction. But from a sales point of view, our customers are all over the world, and so we set up our sales network in order to gain as much efficiency as we can. So our revenues are incurred in lower tax jurisdictions on a consolidated basis. We see a lower number there, and of course, with respect to the guidance, we are guiding for a recovery, again, as we offset the tax pools in Canada with taxes paid, where we sell the product. So looking ahead, we expect the situation to continue for the next few years, but tax rate will eventually increase as we increase our production in Canada and, certainly, as we renew our transfer pricing agreements with our subsidiaries. But at the moment, our expectation is that, that guidance is good.
Unknown Analyst: Okay. And then so if we would look out 4 or 5 years, would it be fair to assume that a tax rate of 25% to 30% is realistic?
Grant E. Isaac: Well, we don't go out that far. We sort of just guide over the next couple of years. But at the moment, our expectation is that our structure will result in that type of consolidated tax rate. And of course, we will give good notice to the market should our expectation change.
Operator: Our next question is from Brian MacArthur of UBS.
Brian MacArthur - UBS Investment Bank, Research Division: I just wanted to follow up a little bit on Greg's question. Obviously, HEU goes out structurally a short 24 million pounds, assuming all sorts of assays and everything else. But do you think there's any probability -- the Russians always talked about no more HEU. But what about LEU they may have to substitute into that equation going forward?
Timothy S. Gitzel: Brian, I'll just say that we're not aware of anything like that. We heard [indiscernible] had come to Toronto some time ago, and say, no more HEU, didn't mention LEU at all. We know they're selling some SWU into the U.S. market, but as far as we know, no HEU, no LEU. And so that's what we're now taking into account in our projections. I would say even a couple of years ago, we thought, well, there might be a chance that maybe they won't bring the same amount that they've been bringing. They might bring half. And we kept looking at that for some period of time, but even now we say no. As far as we can see, it's finished. And as we get closer now to next year, that just confirms our view. So not that we're aware, Brian.
Brian MacArthur - UBS Investment Bank, Research Division: And maybe just on a different topic. McArthur, obviously, have had a second year of very good production there. Where do we stand on the catch-up, if I want to call it that, that obviously you could overproduce above the 13.1 million, and you did 13.8 million or 13.9 million the last 2 years. And if I remember, that was -- that's 800 for 2 years and there was a carryforward or whatever. Where do we stand on that? Do you still have the flexibility to run it up to that level and sell it? Or are we getting near the end of the catch-up or has anything changed?
Timothy S. Gitzel: Yes, that's a good question, Brian, and I'll get Bob to confirm the exact numbers. I think we were about 5.2 million pounds when we started and we would be about halfway there. But, Bob, you probably have more specific numbers.
Robert A. Steane: Yes. But we've got -- really, we've got the flexibility to continue exercising our production for the next couple of years, because that will carry us through. So to the extent that we're successful with the mining and able to get that flex, we can still push to the max for the next couple of years at MacArthur and Key.
Operator: This will conclude the questions from the telephone lines. I would now like to turn the meeting back over to Mr. Tim Gitzel for his closing remarks.
Timothy S. Gitzel: Well, thank you very much, operator. And thank you, again, to everyone who joined us on the call today. In closing, I'd just like to add that this has been a year of change for our industry, but we certainly remain committed to our strategy and our goals based on strong long-term fundamentals that have not changed. Most importantly, our results for 2011 show that we remain able to deliver on these goals, and in a safe and responsible manner. So thank you, again, for joining us today, and let me wish you a great day. Thank you.
Operator: Thank you. The Cameco Corp. fourth quarter and year-end results conference call has now ended. Please disconnect your lines at this time. We thank you for your participation, and have a great day.